Operator: Good morning, ladies and gentlemen, and welcome to the Rubicon Organics First Quarter Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference call over to Margaret Brodie. Please go ahead.
Margaret Brodie: Good morning, everyone. Thank you for joining us today. I'll be sharing an update on our strong start to 2025; the growth opportunities ahead; and a few key industry developments. I'm also pleased to introduce our new CFO, Glenn Ibbott, who joins me on the call for the first time, and he'll be walking you through the financial results. As you can see from our recent announcements, 2025 has been busy, and we have plans to grow our business. In terms of key milestones, in Q1, we delivered net revenue of $12.4 million, a 39% or $3.5 million increase year-over-year. We reported positive adjusted EBITDA of $700,000, marking a $1.1 million improvement compared to the same period in '24. We received our GACP certification for our Delta facility to allow us to execute our inaugural international shipment to Poland in mid-March. And we entered into an agreement to acquire a new facility in Hope, BC, expanding our annual production capacity for premium cannabis flower by over 40% to 15,500 kilos. In Q2 '25, thus far, we have appointed our new CFO, Glenn Ibbott. For those of you not aware, Glenn is best known in the industry for his tenure as CFO at Aurora Cannabis from 2017 to 2024, where he played a pivotal role in the company's rapid growth, international expansion and delivery of recurring EBITDA and cash flow. His expertise comes at an important time for Rubicon Organics as we scale new capacity and explore new markets for our industry leading premium cannabis brands. And we successfully closed a non-brokered life offering, which we upsized by 50% to $4.5 million due to strong demand despite recently significant volatility in the capital markets. Our revenue growth this quarter was fueled by strong performance across Canada's four largest provinces. We remain focused on the Canadian market and satisfying our key Canadian customers, and I'll speak to that more in a moment. A key driver of our Q1 growth was the strong performance of our resin vape line. Although, it only launched in Q2 of '24 with just two SKUs, we expanded it to five by the end of '24. And then by the close of Q1 '25, we had eight SKUs in market, further strengthening our growing product portfolio. These vape carts have been extremely well received, quickly capturing nearly 15% of the segment and continuing to gain strong momentum. Beyond Resin Vapes, we also saw steady growth in the rest of the 1964 portfolio as well as with our Simply Bare and Wildflower brands, which continue to strengthen our overall portfolio. Our presence in premium edibles continues to expand. At the end of Q1, we had offerings in the category under Simply Bare, 1964 and Wildflower. We see a real opportunity to continue to build on our brand strength in this category. When it comes to Topicals, we remain the market leader in the Topical category despite our premium pricing. While we've seen some share loss recently due to competitors entering with a wide range of SKUs at lower price points, we continue to grow revenue and leave this segment with fewer products, thanks to our product quality and strong brand equity. In growing our offerings to consumers, we are regularly launching new products that build on the strength of our house of premium brands and leverage our genetics bank. In Q1, a few standouts to note. We launched BC Organic Pink Drip by Simply Bare in late March. We are honored to bring the standout genetics to the legal market for the first time from the legendary Gastown Genetics. Launched under Simply Bare, it has been receiving incredible reviews and is part of our drop strategy to provide the Simply Bare consumer with new and unique flavors. As I mentioned, we expanded our SKU count on 1964 FSE resin, and we have now grown to eight resin SKUs in market, most recently adding Lemon Diesel, a vibrant summer-ready strain that complements the existing SKU lineup. Lastly, we launched Homestead Edibles. Building on the success of our other gummy launches in 1964 Wildflower and Simply Bare, we've now introduced resin gummies under Homestead. This launch is designed to bring the mainstream consumer into our premium product portfolio. The product launched at the end of Q1 in BC and will launch in Ontario in the coming months. I will now pass the call over to Glenn to discuss our financial performance.
Glenn Ibbott: Thanks, Margaret. Good morning, everyone. As Margaret noted, I've been a CFO in the Canadian cannabis industry since 2017. I have seen a lot of companies attempt to navigate the incredibly competitive Canadian business. And I have to tell you that I'm beyond delighted to join Margaret and the Rubicon team, leaders in premium cannabis with great brands, incredible products and an unwavering dedication to deliver a high quality experience to our customers each and every time. Okay. Now looking at our financial performance in Q1 of 2025. The first quarter of each calendar year is normally a seasonally lighter quarter for Rubicon, but we are pleased to have achieved net revenue of $12.4 million for the three months ended March 31, 2025, a 39% increase over the same period last year. Our overall growth was largely driven by our premium 1964 brand, where continued product innovation resonates with our customers. Our 1964 brand delivered strong growth in both the vape and flower categories, up 44% year-over-year. This performance was led by the successful ramp-up and strong customer demand for products we introduced last year, including our resin vape line launched in Q2 of 2024 and new flower genetics such as the new Lemon Diesel genetic. Pre-rolls, which saw a softer performance in early 2024, were also a significant contributor this quarter, thanks to the new 0.5 gram pre-roll pack format introduced mid-2024 that has gained solid traction in the market. Simply Bare experienced growth across all categories with strong contributions from new product lines launched in 2024, such as capsules and edibles and unique genetic launches in our organic pre-roll segment. And in the Wellness category, Wildflower continues to perform well despite its relative premium pricing versus the larger competitors in the category. Revenue growth was driven by strong sell-through of existing SKUs and further supported by the successful launch of two new products, the Wildflower Extra Strength Relief Stick and the 1:1 CBD:THC Relief Stick, both of which have resonated with consumers and helped to extend our footprint in the Wellness space. Moving down the P&L. Gross profit before fair value adjustments was $3.8 million, a 72% improvement from Q1 of 2024, and our gross margin improved to 31%, up from 25% in the same quarter last year. Gross profit is an important driver of financial strength and reflected strong revenue growth, coupled with scale benefits and operational efficiencies at our Delta facility. Within SG&A costs, we saw normal increases in salaries year-over-year, while external G&A spend was down slightly and marketing was up just over $200,000 as we invested in the growth of our leading brands. So summing all of this up in adjusted EBITDA, our Q1 2025 adjusted EBITDA came in at $0.7 million, up from a loss of $0.4 million last year. This marks our fourth consecutive quarter and eight of the last nine quarters of positive adjusted EBITDA, which signals strong underlying business health even as we continue to invest in long-term growth. Now I'll discuss cash flows and balance sheet health. During the quarter, changes in working capital impacted operating cash flows as we used a net $962,000. We had higher excise tax payments resulting from a strong Q4 2024 sales and an increased investment in inventory levels to support anticipated demand. We ended the quarter with $7.8 million in cash and a solid working capital position of $20.6 million. Our liquidity remains strong, supported by prudent cost control and a disciplined capital structure. As you will recall, in November 2024, we secured $10 million in credit facilities at an interest rate of 6.75%. Subsequent to Q1, we raised gross proceeds of $4.5 million to support start-up and scale-up of the Hope Facility. We may consider additional debt financing should we choose to accelerate key projects, but we consider Rubicon's current balance sheet to be very healthy and providing the flexibility to pursue additional growth initiatives. So to summarize my review of our Q1 financial performance, Solid revenue growth across all of our key segments and products, combined with continued cost discipline led to the fourth consecutive quarter of positive adjusted EBITDA and continued robust financial health. I'll now turn the call back to Margaret.
Margaret Brodie: Thanks, Glenn. As you may have followed our story over the last couple of years, we have built our top line by working with co-manufacturers to launch both Edibles in '23 and Vapes in '24. We have been looking for more incremental supply beyond our existing contract grow relationships, and our next move is the acquisition of the Hope Facility, which is expected to deliver incremental flower production for our business. We expect to close the purchase of the new facility in Hope, BC in the coming weeks. This acquisition is timely, given the now evident global supply -- cannabis supply shortage. Our Delta facility is already producing some of Canada's best premium cannabis, and we are the only scaled premium and organic cannabis operator in the country and Hope provides the opportunity for us to satisfy more demand as it brings an incremental 4,500 kilos of production capacity into our business for just $4.5 million purchase price. And we expect to add under $2 million in incremental CapEx, of which three quarters (ph) we expect to spend in 2025. Given that the low end of estimates are that it would cost more than $12 million to build this facility today, this is an incredibly strategic purchase. We will fully own the facility and the real estate, allowing a stronger balance sheet and optionality. The Hope site was first licensed in BC -- was the first license in BC and is located about 1.5 hours from our existing operation in Delta. This proximity allows us to leverage our experienced operational team to quickly get it up and running with the first harvest expected in late '25. We expect it will take 12 to 18 months from once we acquire the Hope Facility and get the appropriate consistent quality and begin to optimize yield. We'll incur significant start-up OpEx in '25, and we do not expect revenue to follow until '26. This expansion will help capture unmet demand for our capacity-constrained brands in Canada, and we expect to open up international channels in 2026. Now on to our growth opportunities. Flower continues to be our favorite product to sell and for good reason. Simply Bare and 1964 have consistently strong demand, often outpacing what we've been able to supply. It's a great problem to have, but it has meant we've historically been limited on our ability to launch larger format offerings. With contracted incremental 2,000 kilos of biomass in 2025 and then capacity from Hope in 2026, we expect that we could satisfy more of the requests we received for larger format products. But larger format products largely come with moderately lower margins, although with the potential positive impact on our top line; and ultimately, our bottom line, which is significant. Our Resin Vapes have exceeded expectations since launching just over a year ago in BC. The vape market itself is expanding, and we're finding more and more segments where we can win. Most recently, we've secured a listing in one province for an all-in-one resin vape, and we are seeking to launch more broadly across our key markets during the year. This format allows us to reach a new kind of customer, those looking for a convenient, ready-to-use option different from our existing 510-thread offerings. We also eagerly anticipate the results of the Quebec based listing for potential initial sales in Q4 '25. In terms of Homestead, this brand has started as a tactical solution originally used to move flower that while still high quality, didn't quite meet the premium standards of Simply Bare in 1964. It has become a bit of a cult favorite with customers eagerly watching for available product. Recognizing the demand for Rubicon quality products, we recently launched Homestead resin gummies, which opens us up to a more mainstream Edible customer. And finally, international. We see tremendous demand for consistent quality supply from medical patients around the world and expect in future to be participating in those markets, although we do not expect that to have a meaningful revenue contribution in 2025. This year, we continue to see our hypothesis of Canadian cannabis moving along the Gartner Hype Curve coming true, highs followed by the low -- or low and now the emergence of clear winners as the market matures. The past four years until 2025 have been marked by intense competition and relentless pricing pressure. We now believe and data demonstrates that beginning Q4 '24, domestic pricing has stabilized with some segments already seeing price increases due to shortage of quality supply. Dynamics in the market are shifting with demand outpacing supply, setting the stage for a steeper, more sustainable resurgence, both domestically and internationally. Wholesale prices have risen notably since last summer, and we continue to receive strong demand for our products from both markets and expect the next 18 to 24 months to be a period of continued growth for Rubicon. To look forward to the remainder of 2025, we see the cannabis markets have turned a corner. What can you expect from Rubicon? Firstly, we are focused on securing additional premium quality supply in two ways: one, through our Hope -- planned Hope acquisition; and two, through contract arrangements where we expect incremental 2,000 kilos of biomass. Secondly, we are focused on the domestic market and building trust with customers in Canada. We see now is the time that brands are built and that many of our competitors are turning away from the Canadian market and that, coupled with rising barriers to entry on to Canadian shelves with provincial SKU rationalization and supplier scoring means it will be increasingly challenging for new brands and products to secure shelf space. At the same time, Canadian consumers are becoming more brand loyal, prioritizing trust and value in their purchasing decisions. We believe our award winning brands and diverse product portfolio will continue to resonate with them. Thirdly, we remain committed to bringing new and innovative genetics to the Canadian market to continue to elevate our consumers' experiences. And lastly, in 2025, we plan to test and learn in the international medical market in advance of having incremental production from Hope, some of which we expect will be available for international channels in '26. In financial terms for our '25 targets, we are forecasting growth in both net revenue and adjusted EBITDA from our core business on a like-for-like basis. In '25, our annual adjusted EBITDA will be impacted by initial pre-revenue operational costs of just over $3 million associated with the start-up of Hope, with revenues of Hope not likely to appear until 2026. We are bullish about the future of Canadian cannabis as global demand now surpasses quality supply. Over the past few years, Rubicon has strategically laid the groundwork by expanding into Edibles and Vape products, refinancing our debt and preparing to broaden our footprint. With the planned acquisition of Hope, our market positioning growth and initiatives, coupled with the industry shift towards undersupply, Rubicon is very well situated for long-term success and value creation. I'd now like to open the line to analysts for questions. Operator, please open the line.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question is from Neal Gilmer from Haywood Securities. Your line is now open.
Neal Gilmer: Yeah. Thanks very much and good morning. Margaret, maybe I'll start with respect to your comment on the contract grows expecting 2,000 kilos this year. Can you give us a sense of how that compares to last year? I know you started the contract grows last year. Just like wanting to better understand whether that's a similar level to last year that's incremental to the contract product that you received last year?
Margaret Brodie: Great question. Good morning, Neal. It's actually all incremental. We did have some contract growth come in last year, but it was much -- it was not included in this incremental 2,000.
Neal Gilmer: Okay. Thank you for clarifying. And then, what's your philosophy -- and maybe it's too early to answer the question, but I'll ask it anyways. Going into '26, once you have Hope running, are you expecting to continue with the contract? Are you expecting Hope to sort of displace what you're getting from the contract growth?
Margaret Brodie: No. Look, we intend to continue to move forward. I think the -- we do have long-term contracts, but there's often pricing discussions annually. So our intention is to continue with that and look -- be a good base and partner for our suppliers and a reliable one. I think in this market, being a reliable partner actually has considerable value for contract manufacturers.
Neal Gilmer: Okay. With respect to Hope, assume it closes in a couple of weeks' time here, and then you can obviously start your CapEx initiatives right away. When would you anticipate getting the license and able to actually put first plants into the facility?
Margaret Brodie: The under promise and overdeliver in me is going to say end of the summer. We have noticeably heard in the industry that Health Canada is being a little slower, although, we do have an assigned individual working on the file, and we did submit it back in March. I'm hopeful, I don't like saying hopeful for Hope that by mid-July, it's in -- but I think I would say to you, August would be probably a more conservative world view. In either case, we do expect from a conservative perspective that we are taking down at least one harvest this year.
Neal Gilmer: Okay. Thank you. Last question on the income statement. Gross margins, I'm well aware, fluctuate quarter-to-quarter for various different factors, economies of scale and so forth. So it did come down a little bit from Q4. Obviously, part of that is the revenues. And it's not really a quarter question. It's more of a how should we be thinking about it on an annual basis so that we just don't pay attention too much to the quarter-over-quarter fluctuations, but more if I look at last year, sort of the average was 31.5%, I think, as far as gross margin. Should that be sort of sustained at similar levels this year or any puts or takes that you may want to comment on with respect to the gross margin line?
Margaret Brodie: Great. Good question. Our production costs stay relatively flat on the year. So if you took last year's and this year's and just ran them out, it's really the inventory expense to cost of sales portion, which is the -- which is everything past the harvest door. Look, I'd like that to be around 35%, that's what we've seen in the past, and I think that would be a good indicator for this year.
Neal Gilmer: Okay. Great. Thanks for taking my questions.
Margaret Brodie: I should actually mention, Neal, one thing, pre-roll automation that we have spoken about, those machines arrive this week. So we expect to see some of the benefits of that, and that was -- what will derive the 35%, that's one of the significant items.
Neal Gilmer: Okay. Great. Thank you.
Operator: Thank you. [Operator Instructions] Your next question is from Pablo Zuanic from Zuanic & Associates. Your line is open.
Pablo Zuanic: Thank you. Good morning, everyone. Margaret, can you just maybe give a broader view of the Premium segment? I mean based on the data with -- there's a lot of macro uncertainty out there, some consumer pressures. When you think of the Premium segment compared to a year ago, where are we? I mean, is the segment shrinking, growing? What would be your thought there? If you can just comment on that? And related to that, I don't know if you can quantify the impact of deflation on your revenue growth. I mean, very impressive year-on-year growth, but was deflation a headwind in terms of your revenue growth? Thank you.
Margaret Brodie: Great questions. On the Premium segment overall, always tricky to cut the numbers because as we are seeing, we look at Hyfire data, which takes the -- anything falls into Premium is over 20% of the average cost, and we have seen average cost in Canada, well documented, stabilize and actually go up a bit from about the fourth quarter of last year. Look, on consumer pressure and premium, we've actually seen inflation in Canada. So Canadians experiences both -- while there's been some pressure on grocery, rents have stabilized and other things. So unless we are into a major recession, I think we're fairly confident. I'm not an economist. If you could predict what's going to happen in the next few months, I think that would be great. We've obviously seen tremendous volatility, which does make consumers nervous. We also see, at the same time, we're competing also against the legacy markets. Legacy market prices tend to be lower than legal market. So that always puts pressure on us. That being said, we believe our genetics, the positioning that we're in and our brand strength, we expect to continue to grow share. That's our goal, notwithstanding any economic situation. And I don't know, Glenn, if you've got a different view than me on that.
Glenn Ibbott: No, Margaret. I mean, as you described, where we participate in Premium and the products that we're continuing to launch new genetics, et cetera, on the Premium side, there's no pricing pressure there is pretty minimal over the last little while for our products, for our type of products. I can't speak to the low end and the pressures that might be there in the mass market. And as we look forward, we are launching across all our product categories and in all the Premium segments that we operate in. So Pablo, it's not a significant concern for us as we forecast the rest of the fiscal year.
Margaret Brodie: And your next question was on deflation on the revenue growth. For us, I don't -- we didn't see that at all. I think the genetics we have in market right now are getting consumer pull, and we're very proud of that and excited for that also for the remainder of the year. So that's just not been our experience. I can't speak to others in the industry.
Pablo Zuanic: Okay. Thank you. And just a quick follow-up. I mean, obviously, you're increasing capacity with Hope. But I guess it's a two part question again. I don't know if you answered the prior question, but this year, you plan to buy incremental 2 tons of biomass, but is that on top of 2 tons last year? I don't know if you want to give a number for how much biomass you bought last year? And then in terms of the incremental tons, I mean, are we talking about premium flower for your very premium products or is this more for distillates, for lower-end products? If you can quantify -- if you can give more color there. And separate, but again, related, and I know we don't want to get ahead of ourselves here, but what's your capability down the road to expand the capacity at Hope and even expand the capacity at Delta or would you have to look at a third facility for that? Thank you.
Margaret Brodie: Great questions. I'll take them one at a time. Firstly, buying the 2,000 kilos, that's on top of last year, and we didn't disclose how much last year we purchased. So I'm going to wear beige on that one. In terms of what that is, look, we want it to be premium flower. The quality needs to hold and we hold our quality standard high. If the strains that are grown don't meet the quality standard, we can often go to our contract manufacturer, contract growers and shift price, but we do have outlets to put that flower through our -- sorry, our hydrocarbon process. So we can use all of it. We'd love it to be flower. That's where we're aiming for it to be. And what you can see is on the 1964 product that's been released and actually doing reasonably well. We're really proud to see the Lemon Diesel moving, and that is a partner product. It goes, everything that we do goes through to make sure that it meets extensive tasting panel and trial and every batch gets smoked to make sure the quality is there. So we're really confident in our process to be able to maintain that. And then I believe we can use it all. Frankly, we want the flower. We want the biomass. And lastly, on capability to expand Hope or Delta. Hope, we've said that production capacity is around 4,500 kilos. Previously, other companies had said 6,900. I actually think if you were growing genetic all the time for max yield, that's a reasonable number. Next year, we don't expect that. In '26, I think it takes a minute to optimize, I've said 12 to 18 months. I'd love to be at closer to a 4,500-kilo run rate at the end of '26. Let's get the quality there first to make sure we understand the facility, although, facility does have an excellent reputation. Expanding that will be about optimizing yield. There's not space to expand. At Delta, could we expand? Yes. Should we look at another facility and growth? I think everything is on the table as we -- what you'll notice from Rubicon is clear execution. Oftentimes, somebody in the team throws up the idea, we make sure that it fits into our strategic plan. And typically, the plan is driving what the ideas are. And then as Hope's -- the Hope project will now be into execution mode, that will be on the Ops team. And I'm obviously looking for what's next, and that's my role.
Pablo Zuanic: Thank you. And let me ask just one more. I know you're just launching now the all-in-one live resin vapes -- but the plan is to stick to live resin only in vapes, right or are you looking at also other types of vape products? Thanks. That’s it.
Margaret Brodie: We -- that's a great question. Look, the FSE resin is what we're launching -- going to launch under the all-in-one. We're very excited about that segment. What I would comment is that margins are comparable to existing vape, but it allows us to get into the hands of a different use time often in terms of consumers. Consumers often buy both or -- and so, they use the products well. We're very excited about the all-in-one. It's a new category for us, and it should be our growth area this year. We also expect that -- we've explored Rosin. You can see that we have Rosin in our gummies, that's not in the near term. In terms of Distillate, it's not a game we're interested in playing at this stage. We think that it's more of a race to the bottom on price and a bit less differentiation. But to be honest, we're growing the business. And so I think as you go forward, you've got to make sure you're always considering everything. I just don't see that in the next 18 months, certainly time to move on.
Pablo Zuanic: Got it. Thank you.
Margaret Brodie: Thanks, Pablo.
Operator: Thank you. Your next question is from Josh Felker from CB1 Capital. Your line is open.
Josh Felker: Thanks. Good morning, Margaret and welcome back from retirement, Glenn. I'm sure you must have gotten a half decent offer in order to get you off the lake, but welcome. First question is around your confidence in your ability to sell the new capacity from Hope. I know you're basically selling out of everything that you produce right now, or I believe that's the commentary. I'm just wondering what other levers you can pull to sell this new capacity? And do you think there's demand for this additional capacity through your brands? Thank you.
Margaret Brodie: Josh, I would say, if you were to look at our S&OP plan, our Sales and Operating plan in '25 and -- excuse me, '24 and '25, you'd see that we have the demand there. And what I commented on is, it's really the larger format bags that we have very, very strong unmet demand. Those are slightly lower margin. It's not crazy. There's also considerable demand for consistent high-quality product into international markets. I'm very confident that we can sell all of it. And in fact, I think we'll -- alluding to Pablo's question, be quickly looking for what's next. But I see Rubicon as having a wonderful positioning with indoor high-quality product. We're going to have our fantastic organic facility. And I guess there's a question of what's next. I think there's more supply for us to be seeking because there's lots of demand out there. And as we talked about recently in terms of international, markets are just turning on, and there is a lot of space. France has just announced they're looking at the end of next year. Between Germany, Switzerland, the U.K., Poland, there's lots of room.
Josh Felker: Super. Appreciate that answer. And I guess that was my follow-up question. What are you seeing in terms of supply-demand factors in international markets? I'm wondering if you're still seeing undersupply because I'm starting to hear commentary from other operators that there may be more of a parity now in those international markets. So how is that developing? And then I guess, more relevant to you, how is that developing on the premium side?
Margaret Brodie: So I think what we're hearing happened over the last six months is, the -- this is specific to Germany. The operators panic because they didn't have enough supply, went out, bought a ton of supply, not necessarily in the Premium segment, I would say, more in the mainstream. And we are now having global competition coming in from whether it's Colombia; and South Africa is turning on, et cetera, more of that is at the lower end of the market. I think this is going to be just a case of hurry up and wait and then it's going to be not enough supply. We're just going to see weird supply-demand curves over the next little while as new customer or patients emerge in those markets. What we are hearing is there's not premium supply. And I think what happened was there was a lot of run to purchase and then, maybe we purchased too much. But I think that's just normalization of growing pains in any market. I think that the general curve is absolutely going towards -- there is a wave of demand. Any short-term pinches, which I think we're probably in one right now, have emerged quite quickly. So I think over the last five weeks, it's all of a sudden gone, gosh, at the value and mainstream end of the market, they're okay for supply. But we're not hearing that in the Premium segment.
Josh Felker: Great to hear. Congratulations on the quarter. Thank you so much for taking my questions.
Margaret Brodie: Thanks, Josh.
Operator: Thank you. There are no further questions at this time. I will now hand the call back over to Margaret Brodie for the closing remarks.
Margaret Brodie: Thank you for joining us today and welcoming Glenn to the team. Rubicon is in a transformational year, driving to build the most trusted house of premium brands in Canada and beyond. Hot off the press is that we won Standard Producer of the Year at this year's Grow Up on Monday night, adding another accolade to our cabinet. I'd always also like to give a personal recommendation. And this quarter, it's the Simply Bare Pink Drip flower. I can hand -- sit down and say it was one of the best consumption experiences I've ever had, and I would really encourage you to give it a try.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.